Operator: Good day, ladies and gentlemen, and welcome to the AMERISAFE Inc. Fourth Quarter Earnings Call. [Operator Instructions] As a reminder, today's conference is being recorded for replay purposes. I will now like to turn the conference over to your host for today, Ms. Janelle Frost. Ma'am, you may begin. 
G. Frost: Good morning. Welcome to the AMERISAFE Fourth Quarter 2011 Investor Call. If you've not received the earnings release, it's available on our website at amerisafe.com. This call is being recorded. A replay of today's call will be available. Details on how to access the replay are in the earnings release. During this call, we will be making forward-looking statements. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. Actual results could materially differ because of factors discussed in today's earnings release and comments made during this call and in the Risk Factors section of our Form 10-K, Forms 10-Q and other reports and filings with the Securities and Exchange Commission.
 We do not undertake any duty to update any forward-looking statements. I will now turn the call over to Allen Bradley, AMERISAFE's Chairman and CEO. 
C. Bradley: Thanks, Janelle. And thanks to you, ladies and gentlemen, for joining us for our fourth quarter 2011 earnings call. As usual, I will make a few remarks and then turn call over to Geoff Banta, and Janelle Frost for more details.
 During the fourth quarter, the workers' compensation market continued to improve. The public commentary on the firming of the P & C market in general and the workers' compensation markets specifically has gathered momentum over the last few months. While there remains a different views as to the extent and the duration of the cycle term, very few commentators, if any, denied that the market is firming. As has been the case in similar situations in the past, it appears the impact of the term in the market is first being felt in the high hazard occupations. This trend is indeed good news for AMERISAFE.
 We have noticed changes in 3 aspects of our business. First, pricing is rising. The impact of this change is clearly shown by the increase in our effective loss cost multiplier, which Geoff Banta will discuss in a few minutes. Second, regulatory rate filings have swung predominantly from one of the rate decreases to one of increases. For example, in the 2009 - 2010 rate filing stock cycle, statistical agents of the various estates filed 28 rate decreases with only 8 rate increases. So far, in the 2011 - 2012 filing cycle, there have been 8 decreases and 25 rate increases. We expect the ratio to continue and to improve in the coming quarters.
 Finally, the demand for our products, the product we sell, monoline [ph] workers' compensation insurance, is improving. It appears that 2011 net premium written for the workers' compensation line will rise nationally for the first time in 5 years. We know our gross premiums have risen, during 2011, have risen by more than 19%. And based upon what we see right now, expected payroll on renewal accounts continues to move upward.
 There are several caveats however. These factors do not mean that there remains no competition nor does it imply that the loss cost are necessarily adequate. New exposures do not automatically mean better results and of course, there's no guarantee that the national economy will continue to improve. However, the winds of change, of positive change are moving through the workers' compensation market, and moving in the right direction. 
 With that, I'll turn the call over to Geoff Banta. 
Geoffrey Banta: Thank you, Allen, and good morning, everyone. I'll make a few comments about our operational performance and trends before turning things over to Janelle to present a summary of our financials.
 In terms of underwriting results, we increased our gross premiums written as Allen indicated, by 19.1% in Q4 '11 year-over-year, the 5th straight quarter in which our top line has grown. We also had a good quarter for losses, our premium base claim frequency was down by almost 8% and we had only 4 claims with estimated incurred totals greater than $500,000. This was a much welcome change for us. I'm sure you all have gotten tired of me whining about our bad luck relative to reported losses in fourth quarters past. Happily, this was not the case in Q4 '11. 
 The fourth quarter increase in top line was due to 2 factors. First, a 6.5% increase in premium on policies written during the quarter, what we refer to as deck sheet premium. And 2, a strong year-over-year increase in payroll audits and related premium adjustments. Our deck sheet premium has now grown for 4 straight quarters and we've had 6 straight quarters of year-over-year increases in our premium adjustments. And importantly, these increases have occurred while we have been increasing our pricing. We also benefited from substantially higher average premium for our new and renewal business, as well as markedly higher renewal premium retention.
 Regarding our renewal business, our fourth quarter premium retention was 96.3% versus 79.2% in the fourth quarter of 2010. We believe this provides early evidence of an overall firming of prices in our high hazard niches. Our policy retention meanwhile, was 90.5% in the 2011 fourth quarter, lower than the 93.2% in the 2010 third quarter -- fourth quarter, but a strong figure nonetheless. As mentioned above, our average premium for new and renewal business also increased year-over-year in the fourth quarter from $29,800 to $33,700, an increase of 13.1%.
 This increase was due to a rise in average payroll for renewal business and an increased pricing for policies written during the quarter. Relative to pricing, our effective LCM for voluntary work comp in the fourth quarter was 1.56% or 156% of the approved loss cost of the states that use this mechanism for pricing. This was our highest quarterly ELCM since Q1 '06 and it represented a year-over-year quarterly increase of 9.1% over Q4 2010. We have now had a year-over-year pricing increases in all 4 quarters of 2011.
 In terms of losses, our fourth quarter results continued to show a slowing of growth case incurred loss development on both an accident and policy year basis. I will break down our loss results in the prior and current accident years. 
 For accident years 2010 and prior, we experienced overall favorable growth case development in Q4 '11 in that calendar quarter, especially for accident years 2007, '08 and '09. Although 2010 has been a troublesome accident year by itself with unfavorable development throughout calendar year 2011, for all prior accident years, including 2010, we have now had 2 straight quarters of overall favorable development. By the way, we believe that the 2010 accident year, as it moves toward ultimate, will go down as one of the worst accident years for the entire work comp industry. 
 For our current accident year 2011, the news has been more encouraging as year-over-year claim severity and frequency are down when compared to 2010 and our claims closure ratio is up. We also experienced the lowest number of claims over $500,000 since our 2008 accident year. Due to our pricing actions and the development we have seen in the first 12 months of the accident year, we remained cautiously optimistic about our ultimate 2011 loss experience.
 As we move into 2012, we continue to live in a demanding environment for claims management. One characterized by high medical cost inflation, increased medical and pharmaceutical utilization and increased difficulty in returning injured claimants to work in times of high unemployment. We believe these factors will continue to challenge our claims operation and put pressure on claims costs into the foreseeable future. But we are encouraged by lower average severities and loss cost increases in many of our key states in 2011, as Allen discussed. 
 With that, I will turn to Janelle to present details on our financials. Janelle? 
G. Frost: Thank you, Geoff. Before I discuss the results for the fourth quarter, I would like to clarify that the results for 2010 included in our earnings release have been corrected for the accounting of our estimate of guaranteed fund assessment. In total, this correction increased net income by $4.9 million and book value per share by $0.27 per share. All of which has been recorded in years prior to 2011. For more details, there was a reconciliation supplement provided in our earnings release.
 Now onto the results. For the fourth quarter 2011, AMERISAFE reported net income of $8.1 million or $0.44 per share compared to $7.3 million or $0.39 per share in the fourth quarter of 2011. Our gross premiums written grew 19.1%. We had favorable audit and premium-related adjustments of $3.8 million, up from $6.4 million from the year-ago quarter. Premiums for policies written in the quarter also grew 5.9% from the fourth quarter of 2010.
 Net premiums earned increased 17.3% from the year-ago quarter. Our net investment income totaled $6.7 million in the fourth quarter, up 3.8% from the year-ago quarter. Average invested assets for the quarter were $847 million compared to an average of $816 million in the fourth quarter of 2010.
 The tax equivalent yield on the investment portfolio was 4.6% for the fourth quarter of 2011 compared to 4.4% for the fourth quarter of 2010. We also had $1.5 million of net realized gains in the fourth quarter of 2011, compared to $165,000 in the year-ago quarter.
 In total, revenue for the fourth quarter of 2011 was $74.9 million, up 18.6% from the year-ago period. Our current accident year loss ratio was 78.2% for the 2011 compared to 83.5% for the fourth quarter of 2010 and 81.8% for the full year of 2010.
 Our incurred loss and loss adjustment expenses totaled $49.6 million for the quarter, which included $2.2 million of favorable prior year development. Accident years 2009 and prior experienced favorable development of $5 million, offset by $2.8 million of unfavorable development in accident year 2010. This compares to loss and loss adjustment expenses of $39.4 million in last year's fourth quarter, which included $7.7 million of favorable prior year development.
 In total, our net loss ratio for the fourth quarter of 2011 was 75% compared to 69.8% for the fourth quarter of 2010. 
 Total underwriting and other expenses increased to $15 million in the fourth quarter of 2011 from $10.8 million in the fourth quarter of 2010. The 2011 fourth quarter expense component included $5.1 million of salaries and benefits, $5 million of underwriting and other costs and $4.9 million of commission.
 Expenses were impacted by lower experience rated commission related to our 2011 first layer reinsurance. As you may recall, these commissions act as an offset to our expenses and in the fourth quarter of 2011 experience rated commission, offset our underwriting expense ratio by 2.7 percentage points compared to 4.2 percentage points in the fourth quarter of 2010.
 In total, the expense ratio increased to 22.7% from 19.2% in the same quarter a year ago. Our combined ratio was 98.4% for the fourth quarter versus 89.2% for the fourth quarter of 2010.
 Return on average equity for the fourth quarter was 9.3% and book value per share at December 31, 2011, was $19.33, an increase of 7.5% from December 31, 2010. Finally, our statutory surplus was $314 million. 
 That includes my prepared remarks on the financials. I now turn the discussion back to Allen. 
C. Bradley: Thank you, Janelle. Beginning in the fourth quarter of 2010 and in the following quarters up till today, we have articulated to you, our shareholders, our view that the workers' compensation market was turning and turning in a favorable fashion. The premium growth in pricing improvements, we have experienced during 2011 supports the comments that we made on that topic.
 There is nothing we see in the fourth quarter of 2011 or at this time, that causes us to revise our outlook. Most importantly, AMERISAFE has a capital strength, underwriting capacity, distribution systems and human resources to take advantage of these opportunities over the next few years. 
 With that, I will open the call for questions. 
Operator: [Operator Instructions] And our first question comes from Jack Sherck from SunTrust. 
Jack Sherck: On the payroll audits, you've had improvements there for 6 straight quarters, I guess. How long should we expect that to continue? I mean as long as the job market continues to get better or see any change there? 
Geoffrey Banta: A good question, Jack. And I'll just give my opinion, and I look at this stuff religiously. It's been a big part of our premium equation over the past several quarters. I think we're going to have pretty positive increases for the first half of the year but as much because of our insureds getting a better handle on what their future payrolls are going to be after that -- in the aftermath of the recession, and because we had such an outstanding second half of 2010 from -- so you can imagine, from a year-over-year perspective, it's going to be a higher bar the second half of the year. So I would expect that year-over-year, the second quarter is not going to be nearly, or our second half of the year is not going to be really nearly as positive us a first half of the year. First half of the year should be a continuation of what we've seen in the 2011. Do you agree, Allen? 
C. Bradley: I do, I do. I think that's an important distinction to make. It will, I think remain positive, but it may now remain as positive as it was in the year-ago comparable quarter. 
Geoffrey Banta: Yes. Is that helpful? 
Jack Sherck: Yes. And then going back to the 2010, with other things such as bad year industrywide in terms of claims and activity versus 2011, it was moderate, is that more of a function of -- in 2010 when the job market really -- unemployment snapped back off the bottom, you had a rapid increase than new hires versus what instead as more moderate and more steady growth. Is that kind of what you expect in the cycle? 
C. Bradley: Listen Allen. Let me tell you that the earlier question you asked and the answered to this question are related. There is not, for 2010, accident year a good matching of exposures in premiums. Largely in 2010, what you had were negative audits for policies written in prior period, which pulled down the net written premium. We suffered, I want to say, $27 million or something like that, in terms of negative audit premium. At the same time, you were getting negative audit premiums, which show up in your earned premium. You had an improving job market where there were more exposures, just like you mentioned in your question, in the marketplace. So you didn't have a perfect matching of premium and losses. Now, if you were to look at the results only as what is called a policy year basis, where you match policies to exposures after the audit is over, I'll think you'll see that it was a bad year, but not nearly as bad as it looks like on a accident year basis. So yes, it was a change in the exposures, which was not reflected in the premium recorded. 
Geoffrey Banta: Okay, I've got to add to Allen's answer in terms of just the numerator, the claims, and 2010 will go down as one of our toughest years in terms of the number of severe claims as a percentage of that premium. So if you think about frequency of severe claims, it was high. We had a lot of bad claims. And the return to work issue in 2010 was just very, very tough in that year of very high unemployment. It's been a constant struggle for our claims professionals to get workers back to work and close out the, especially the temporary total disability part of the indemnity payments. 
Jack Sherck: Okay. And then my final question is just on kind of the market, you mentioned that you were at a better place in high hazard than as expected. And that's always kind of expects to be kind of the in workers' comp. Are you even seeing that among your own class codes or is that more of a market comment?, i.e. are you getting better pricing on your higher hazard classes versus your less higher-hazard classes? 
C. Bradley: It is specifically market-wide, as well as specifically on our class codes. What is interesting is that you get information that is publicly released, that everyone knows about, AIG announced this week that they were no longer going to pursue excess workers' comp. Well, that's not the line for us, but it is, just, I mean, everyone knows that. Then there are what are called market rumors and what we call market rumors that we get from underwriters such as you receive calls from agents and comment on the fact that this company is no longer writing this, or they will write this sort of risk without a debit or surcharge to it, so we're hearing lots and lots of that. But I thought that was a very interesting article, if I might quote from it, it was an agent broker magazine in January of this year, and it said something that I couldn't agree with more, and it said that, "The beginning stages of the hardening trend will be to round up the usual suspects, the initial salvo though will be directed at clients and high-hazard -- high risk industries and those with adverse loss ratios. Insurance companies usually have, at the behest of their reinsurers will non-renew and stop writing selected classes of business. They will set strict standards for staying with or writing accounts with 3 to 5-year loss ratios over certain levels." That comment from that article, I couldn't agree with more as what we're seeing right now in the marketplace, I think that's a pretty accurate description of it. 
Operator: Our next question comes from Matt Carletti from JMP Securities. 
Matthew Carletti: I just had one question, kind of looking forward in terms of, I guess what you're describing is, with my words not yours, could be the beginnings of a capacity crisis or at least a shrinkage of capacity in your markets. And I got to think that that's not just specific date to the states you're in, but even some states that you're not in. Might we see you at some point in the some new territories and specifically, I'm thinking of one large populated Westco state? 
C. Bradley: Yes, sort of. West of Louisiana, okay? 
Matthew Carletti: A little bit, yes. 
C. Bradley: Certainly, these opportunities -- I think we are in a period where capacity may constrict and it probably is not going to constrict in a sense of there will just huge -- there will be a loss of underwriting capacity, period. I mean , I think there'll be constriction of underwriting capacity. But with low investment yields, longtail line of business and the industry performing at what the insurance information institute estimates for 2011 at 118% combined ratio, I think there'd be a very few underwriters that will say "gosh, let's over write workers' comp, because we should make it up on investment income. So I think that will create somewhat of a constriction. And that provides a couple of interesting outcomes. There may become states that are troubled and one of them in California, I don't know that much about the California market, but it has been in a great state of turmoil. It does appear to be one that's transitioning and there may be opportunities there. But what else also happens is without doing a lot in your existing jurisdictions, your revenue rises because the rates go up and the effective LCM goes up. So that's a compounding impact and that increases your underwriting leverage without really expanding your operational costs so it can increase your efficiency. You'd lose some of that efficiency when you go to a new jurisdiction, particularly if you don't have a critical mass of business. But it is certainly something we're open to, we have lots of capital, I think we're writing right now on a GAAP basis, about 0.7 to 1 net basis for that statutory. 
G. Frost: It's a net. 
C. Bradley: Net on GAAP. So that's a very -- we're not over leveraged at all and there's great opportunity to expand that writing without expanding the expense side. 
Matthew Carletti: And then kind of a follow, shifting just a little bit. Kind of your comments on your direct capacity, your tightening and how reinsurers could impact some of that going forward. Do you suspect that rating agencies can play a role there? Or are we not in a kind of a dire enough situation yet that rises to that level? 
C. Bradley: Well I'll be meeting with them at investments week. 
Matthew Carletti: Not for you guys specifically, but then for peers. 
C. Bradley: We don't anticipate any problems there, but I will say this the A.M. Best has a negative outlook on the workers' comp industry. These rising rates and rising pricing can put some carriers at risks because you have an increase in your underwriting leverage almost artificially, and you got to be able to separate the difference between exposures and rates. So the exposures may not go up but the rates go up, and if they're already in the sort of breaking 1.5, 1.6 we've seen some as high as 3.0. If those guys get rate increases, they're going to run out of risk-based capital and they will have rating problems. So I think, with the outlook that A.M. Best has on workers' comp industry, I would not be at all surprised to see more people be moved down than up. 
Operator: Our next question comes from Randy Binner from FBR. 
Thomas LeTrent: This is actually Thomas LeTrent on behalf of Randy. I have hopped out for a couple of minutes during your opening remarks, so I apologize if you covered this, but for the $2.2 million in the favorable reserve development in the quarter, could you break that out in '07, what was favorable and what was unfavorable in '10 dollar-wise? 
G. Frost: For '07, you said? 
Thomas LeTrent: Yes, what piece was -- so you -- the favorable was 2007 and the unfavorable was 2010. I'm just trying to get a sense of what the numbers for each year was. 
G. Frost: Sure. So $5 million of the prior year development -- favorable development for accident years 2009 and prior and then the adverse was 2010. 
Thomas LeTrent: Okay. And was there any in '11 or just 2010? 
G. Frost: No, we set 2011 at 78.2, which was our loss ratio as of the third quarter as well. 
Operator: [Operator Instructions] And our next question comes from Eric Swergold from Firestone capital. 
Eric Swergold: I have 2 questions. First question is you've sort of touched on some of the people who've moved out of the market or stopped writing. Do you have some estimate of what percentage of capacity might have been taken out in the market? And then the second question is, looking at your lines of business, a number of them appear to be somewhat tied to housing, whether it's the lumber industry or the construction industries. If you sort totaled up what percentage of your business is tied to housing, what would that number be, given the veritable depression housing side in the last couple of years, it would seem that any even stabilization in housing would be very positive for you? 
C. Bradley: Yes, and good morning Eric, good to hear from you. The -- we do not have an estimate as to how much the companies that have withdrawn from the marketplace or quit writing monoline or had restrictive coverage. There is not a real good estimate that I can give you for that. I can tell you that, and this is -- I'm not trying to dodge a question, I just don't have a better number for you in that regard. But I can tell you that in the fourth quarter of 2011, our submissions or applications we got for new business writings were up 14.1%. That's not a direct connection but those submissions or increases are the result of 2 things. Number one, the work of the sales and the marketing department to make sure we access the distribution network to do that. And number two, agents beginning to worry about where we send this businesses. And we hear both sides of it, we have accounts, and I can't give you a specific number, but we have lots of accounts submitted to us to tell us their expiring carrier is nonrenewing or is raising pricing to a levels that they don't think are attractive, those sort of things. So I don't have a direct number as to that but I can tell you, it is showing up in the applications for new business. 
Geoffrey Banta: If I could add to Allen's point on that, and I talk to our underwriters daily, and there are 2 very large carriers who began in 2011, I'll say mid-2011 to pull away in a pretty large fashion. And this is having quite an effect on our ability to write the submissions and the ability to quote on those submissions since those pullouts. And we hear a lot of small companies pulling out but it's really the big companies who have reduced supply to such an extent for we're getting a lot more opportunities, Eric. 
C. Bradley: Okay. The one other thing on that, Hartford is a big the company, they have made a significant move in constricting writing. 
Geoffrey Banta: And that was just recently. 
C. Bradley: Just recently. And CNA has done so over the last year or so. AIG, of course, has done it over a period of time, and ACE is no longer writing monoline workers' comp. we're seeing and you've probably seen the comments from Evan and Greenberg in his third quarter call when he said that they were constricting that. So we see some big folks moving in big ways, as well as small carriers and other people you really wouldn't see. Back to your question about construction in the housing industry. As you may recall, we do not focus on the housing industry construction, we focus more on commercial construction. Having said that, people building things like to build whatever they can build to make a living and I'm sure there has been, though there is some tie of some of our business to the residence construction area. We've seen construction as a sort of the overall piece of our pie constrict down for several years. I do think it's stabilizing at this point and as you may recall, we have increased our interest in the agricultural area, which has replaced lumber as our third and logging and the timber-related business, as our third largest industry group. I hope that answers your question Eric. 
Operator: I'm showing no further questions in queue. I would like to turn the conference back to Mr. Allen Bradley for closing remarks. 
C. Bradley: Well, thank you, everyone. We appreciate you joining us today. We have worked diligently at this company over the last few years to make sure that we properly positioned AMERISAFE as we went through the cycle, the extended soft cycle of the market. That now look like it's changing and we understand and we appreciate the fact that now it is an opportunity for us to grow and we intend to take advantage of it. Thank you, very much. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may all disconnect at this time.